Operator: Good morning and afternoon, ladies and gentlemen, and welcome to the OceanaGold 2023 Second Quarter Results Webcast and Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] And I would like to turn the conference over to Rebecca Harris. Please go ahead.
Rebecca Harris: Good morning and welcome to OceanaGold's Second Quarter 2023 Results Webcast and Conference Call. I'm Rebecca Harris, Director of Investor Relations. We are joined today by Gerard Bond, President and Chief Executive Officer; Marius van Niekerk, Chief Financial Officer; David Londono, Chief Operating Officer, Americas; Peter Sharpe, Chief Operating Officer, Asia-Pacific; and Craig Feebrey, Chief Exploration Officer. Also present is Brian Martin, Senior Vice President, Business Development and Investor Relations. The presentation that we will be referencing during this conference call is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. All dollar amounts discussed in this conference call are in US dollars. I will now turn the call over to Gerard for opening remarks.
Gerard Bond: Thank you, Rebecca, and good morning, everyone. Thank you for joining us today. I am pleased to say that we delivered a strong second quarter, producing just over 130,000 ounces of gold and 3,400 tonnes of copper at an all-in sustaining cost of $1,318 per ounce. This resulted in strong free cash flow generation. On safety, our 12-month moving average total recordable injury frequency rate of $3.5 per million hours worked increased from the record low achieved in the first quarter. Whilst this is still a good result in our industry, we're not comfortable with it, and we have a number of interventions in the period to ensure that safety was top of mind for our workforce. A planned launch of our refreshed safety behavior program occurred during the quarter, which is a key element of our plan to ensure everyone work safely at OceanaGold every single day. From a production perspective, both of the New Zealand operations rebounded strongly in the second quarter. The heavy rainfall impacting Waihi in the first quarter subsided, allowing access back into the high-grade stopes at Martha Underground. At Macraes, the temporary repair to one of the ball mills was completed at the end of March allowing a full quarter of production from all four mills, and that allowed us to show the potential of Macraes. Didipio was a very steady producer quarter-on-quarter, and Haile had a solid quarter, albeit lower than Q1. Strong production, even stronger sales, together with reduced all-in sustaining costs drove strong free cash flow generation of $72 million for the quarter. From a shareholder returns perspective, during the second quarter, we paid our previously announced $0.01 per share semi-annual dividend. And in our Q2 results, we announced the next $0.01 per share semi-annual dividend to be paid in October. In May, we published our 2022 Sustainability Report, which demonstrated some of the great work we've been doing in regards to safety, the environment, our partnerships, and in our commitment to integrity, high standards, governance, and transparency. Development of the Haile underground remains on schedule with the decline now approaching the third production level and first ore is expected to the mill in Q4 of this year. As you know, the Haile underground really powers our production growth and all-in sustaining costs reduction in coming years. So its progress and near-term first ore is really exciting. With all that, we remain on track to deliver our 2023 production cost and capital guidance set at the start of the year, which we know to be a key expectation of the market. This slide looks to compare how our second quarter and first half outcomes on some key metrics compares with full-year guidance. A Q2 and first half outcomes as shown in the circles and the full-year guidance ranges as shown by the triangles for each metric. On production, we produced 248,000 ounces of gold and 6,900 tonnes of copper in the first half, which is a little over half of the full-year production guidance. Our all-in sustaining cost of $1,318 per ounce for the second quarter resulted in a first half all-in sustaining cost of $1,429 per ounce, which as you can see is at the low end of the full-year guidance range. And total CapEx is on track to be in the midpoint of full-year guidance. Due to a combination of scheduled plant shutdowns, mine sequencing and grade profile across the group, we expect this coming quarter, the third quarter to be the lowest production and highest AISC quarter of the 2023 year. We then expect the fourth quarter to be another strong one. At constant metal prices, our expectation is that free cash flow will broadly follow this profile. So we're able to confidently reaffirm our 2023 production costs and capital guidance. Within that, Didipio is on track to achieve the upper end of its annual production guidance while Haile is tracking towards the low end of its production guidance. I'll now hand the call over to Marius to provide an overview of our Q2 financial results.
Marius van Niekerk: Thank you, Gerard, and good morning everyone. As Gerard mentioned, we had a strong Q2 financial results driven by strong gold sales, which included gold in transit at the end of Q1. Revenue for the quarter was $301 million, a 23% increase from Q1 and the strongest half-year revenue on record. EBITDA for the quarter was $153 million which is 53% higher than the prior period. The quarter benefited from gold sales of 139,000 ounces as well as higher realized gold prices compared to the prior quarter. Net profit after tax of $69 million was 76% higher than the first quarter. When adjusted for the non-cash, unrealized foreign exchange loss, this equated to an EPS of $0.10 per share fully diluted, while operating cash flow equated to $0.21 per share fully diluted. Both are ahead of analysts' consensus estimate. We reported free cash flow of $72 million, driven by higher gold sales and increased production. It is a significant improvement from the first quarter and we predict continued cash generation for the second half of the year. Our financial position continues to strengthen with $136 million in net debt and liquidity of $215 million at the end of the quarter. At the leverage range of 0.34 times, we have the financial flexibility to continue investing in the exciting growth projects across our business. The next scheduled rollover period for the drawn funds on our revolving credit facility is this month, at which time we will consider further discretionary debt repayments. In closing, our strong second quarter financial results reaffirm our guidance for 2023. I will now turn the call over to David to discuss the Haile operation.
David Londono: Thank you, Marius, and hello, everyone. Second quarter gold production at Haile was 44,000 ounces. The quarter-on-quarter reduction was driven by lower-than-expected ore grade encountered in the lower benches on the Mills -- of the Mill Zone pit. Production from Mill Zone is expected to be completed in the third quarter and mining will transition into the next phase of the Ledbetter pit. The sequencing means that the third quarter is expected to be the lowest production quarter of the year, but the fourth quarter will benefit from the introduction of higher grade from the underground ore feed. Full-year production is now expected to be towards the lower end of the guidance of between 170,000 and 185,000 ounces of gold. Haile all-in sustaining cost for the quarter was $1,351 per ounce sold. Full-year all-in sustaining cost is expected to be towards the higher end of the guidance of $1,500 to $1,600 per ounce due to the production profile through the second half of the year. We're now drilling in Horseshoe Underground with the rigs, focusing on both grade control and resource conversion drilling. We're also continuing to delineate Palomino and expect to deliver a pre-feasibility study on this project in 2024. Now regarding the Haile expansion. We continue to advance development during the second quarter at the Horseshoe Underground. The decline has now reached McBay on the 990 level and is approximately 80 meters from accessing the 975 level of the mine, which is the third production level. Development rates average approximately 300 meters per month during the quarter. We're in the process of preparing the first hour stopes for mining later in the year and have begun the grade control drip program and remain on track to deliver first ore to the mill in the fourth quarter. Work continues to advance our surface projects as well with great progress being made at both the West PAG facility and the tailings storage facility expansion. During the quarter, the new water treatment plant was commissioned and is now fully operational, discharging our 2.5 million gallons of treated water per day. The Haile team has done a great job safely completing this project and the increased discharge capabilities, we have decided to operate more efficiently in the future. Overall, the Haile expansion project remains on schedule and will drive production growth and lower all-in sustaining costs of the mine in the near future. I will now turn the call over to Peter to discuss the Didipio and our New Zealand assets.
Peter Sharpe: Thank you, David, and good morning, everyone. At Didipio, second quarter gold production of 32,000 ounces and copper production of 3,400 tonnes were in line with results from the first quarter and put us on track to deliver on production guidance for the year. Didipio's second quarter AISC was $741 per ounce, which helped deliver another period of strong margins. Notwithstanding the higher sustaining capital spend compared to the first quarter as project activities such as the tailings dam construction ramped up in the dry weather months. Mill Feed during the quarter was sourced approximately 40% from the underground, which is in line with the 1.6 million tonne per annum underground mining target for the year, with the balance of the Mill Feed coming from surface stockpiles. We continue to study the option for increasing underground mining rates at Didipio to at least 2 million tonne per annum and expect to be in a position to share the findings from this work by the end of this year. Exploration drilling is progressing on ore body extensions with targets in the Northwest and at depth, and we hope to be able to provide more information on these results soon. We have an analyst tour planned for Didipio in August, where I'm really looking forward to showcasing the great work being done by the Didipio team. At Macraes, we produced 39,000 ounces of gold in the second quarter, 48% higher than the previous quarter. Increased production was driven by the return of the second ball mill to operation after a temporary repair was completed at the end of the first quarter. AISC was $1,287 per ounce, an improvement of 41% over the first quarter as a result of better production output. The site maintenance team completed another planned inspection of the ball mill in July and identified that the crack in the trunnion had further lengthened requiring us to take it offline until we can replace the trunnion. A bolt-on replacement was procured when we originally discovered the crack in the first quarter. With that replacement trunnion already on site and the replacement work is currently underway and progressing well. Final repair works are expected to be completed in this quarter. This repair in addition to other throughput improvements implemented by the team this year means that there are limited impacts to production and the Macraes site remains on track to deliver production guidance for the year. Now for Waihi. Waihi produced approximately 15,000 ounces of gold this quarter, an increase from the 10,000 ounces produced in Q1. The significant rainfall we experienced in the first quarter subsided and we were able to return to planned productivity levels and access high-grade areas of the mine that were previously flooded. AISC was $1,614 per ounce, an improvement of 26% over the first quarter as a result of better production output. We anticipate the remainder of the year will continue to be strong and that we will remain in line with the production guidance set forth at the start of the year. I'll now hand it over to Craig to provide an exploration overview.
Craig Feebrey: Thank you, Peter. Last month, we released exploration results from our infill drill program at the Wharekirauponga project just north of Waihi. We continue to intercept exceptional gold and silver mineralization as we focus on converting resources to support the Waihi North pre-feasibility study next year. Drilling rates have been slow due to weather and additional time required on directional drilling, but I'm pleased to say that we received regulatory approval to add a third drill rig to our program last month. The additional rig has commenced drilling and is focusing on conversion of the northern section of the EG vein where drill productivity is expected to be higher, contributing to our 8,800 meters of planned drilling on the project this year. We continue to actively explore across all four operations and we'll release exploration updates as results are available throughout the year. I'll now turn the presentation back to Gerard.
Gerard Bond: Thanks, Craig, and thanks, Marius, David, and Peter. In summary, our second quarter was a strong one, and I'm thankful for the dedicated efforts of the entire OceanaGold team for delivering that. We remain committed to our goal to safe and responsibly deliver on the production and financial expectations set at the beginning of the year. We are focused on continuing to safely and responsibly maximize the free cash flow generation of the company, and we've made good progress in our journey of realizing the organic growth potential in our portfolio. Shareholders can be confident we remain focused on running the business well and investing wisely to create shareholder value and higher returns to shareholders. And with that I'd hand the call back to the operator and open up the line to any questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Ovais Habib at Scotiabank. Please go ahead.
Ovais Habib: Thanks, operator. Hi, Gerard and OceanaGold team, and congrats on the Q2 beat. A couple of questions from me, really starting off with the strong free cash flow generated in the Q2. Now as the CapEx from the Haile underground kind of starts dropping off in the second half, should we see kind of progression of this free cash flow? I mean, Q3 is supposed to be on the weaker side. So we think there's a little bit of a pause in free cash flow in Q3 and then kind of moving on to Q4? Any color you can provide on that?
Gerard Bond: Thanks, Ovais. Thanks for the question. You tell me what the gold price is going to be and I'll tell you what the cash flow is going to be. But on a constant gold price basis, as we expect the third quarter to be the weaker one and then the fourth quarter to be stronger well than the third quarter at least. So, yeah, it will pretty much follow the gold production profile for the year. Because you can see that the production profile, at the midpoint, the CapEx is on track, and assuming we keep the costs in line with the production profile. All other things being equal, Q3 will be more like Q1 and Q4 will be more like Q2.
Ovais Habib: Got it. And that's also assuming start -- CapEx starts falling off on the Haile underground, correct?
Gerard Bond: Correct, yeah. Then that might be supplemented by more sustaining capital elsewhere in the portfolio.
Ovais Habib: Got it. And just maybe this is a question for David then at Haile. Guidance is kind of looking to the lower end of guidance, the lower grades mined in Q2 at the Mill Zone and now the Mill Zone is expected to end in Q3. What should we expect kind of going into Q4 in terms of what zones are you guys looking to mine out in Q4 and going into 2024? And kind of what kind of grade profile should we expect going into 2024 as well?
Gerard Bond: Yeah. Thanks, Ovais. So I will let David comment on that. But the -- in the second half of the year, we've got a few things going on. As David said, we will transition to Ledbetter Stage 2. And as we saw when we were last in Ledbetter, its performance against the model was much better than what we experienced in Mill Zone 2. And then, of course, in the fourth quarter, we've got the first ore from Haile underground coming into the mill. So that represents -- it's quite a dynamic second half for Haile. But David is there any other color you want to add to that?
David Londono: Yeah. Thank you, Gerard. So we're going to be feeding from pretty much the low grade stockpile in Q3 before we start getting ore from Ledbetter. Obviously, at the beginning, we're going to get low-grade ore. But once we start getting the underground and ramping up in 2024, the underground, we're going to get into a higher grade ore.
Ovais Habib: Got it. And David, since I've got you on the line, you mentioned grade control drilling is progressing around the first production level at the Haile underground. Have the results kind of been in line with your expectations?
David Londono: Actually, the grade control, the first hole that we drilled came a little bit higher than estimated that in the resource model. We just had examples for the second hole last week. So we haven't received those samples back in, but it's coming very good.
Ovais Habib: Got it. Good to hear. Thanks for that, David. And then just switching gears to Didipio. The optimization study is looking like it's expected by the end of the year. Now assuming the study is positive and I guess this question is for Peter, how fast could you start ramping up the underground throughput?
Gerard Bond: Peter?
Peter Sharpe: Thanks, Ovais. So we're currently, look, that is actually part of the study is how long will it take us to actually ramp up? What is the final sort of level of productivity that we think we can get to? Usually, something like this will take at least 12 months to fully ramp up. And that's what I'd expect, ultimately, the study to return in that order. But, yeah, it is looking positive so far, and we're looking forward to sharing those results.
Ovais Habib: Okay. Thanks. And looking forward to the site trip as well in mid-August. That's it for me guys and congrats on a good quarter.
Gerard Bond: Thank you, Ovais. I appreciate the questions as always.
Operator: Thank you. Next question will be from Cosmos Chiu at CIBC. Please go ahead.
Cosmos Chiu: Hi. Thanks, Gerard and team. Maybe first up on Macraes. As we talked about, the trunnion was fixed, but it seems like now it has to be replaced at least a bolt. But it doesn't seem like it's going to impact your full-year guidance. Can you remind me maybe what the capacity is when both mills are up and running? And what do you need in terms of capacity? And then how the math all works out in terms of you getting to full-year guidance despite some of these hiccups you've had with the trunnion?
Gerard Bond: Yeah. Thanks, Cosmos. Great question. I'll let Peter answer it. But Macraes is -- it's a really resilient operation. And there's a great story there of adaptation and performance and running what is a low-grade mine and mill very, very well. But Peter, do you want to have a go at that question?
Peter Sharpe: Yeah, thanks. I'll answer it. There's a couple of ways. I think there are a couple of questions in that. So the first repair we did flag temporary. We actually got a company in from the UK to do metal stitching, which is common in cast steel structures. We certainly were hoping that that would let us basically operate through until the end of this year. But we're always planning on doing the planned inspections just to check. That planned inspection in late June we identified that that corrected lengthened. But when we did actually, obviously, when we did do the temporary repair, we did two things. One is we bought -- we procured a bolt-on trunnion which would require us to cut the end-off the current feed end and then replace that with a bolt-on. And we also procured a full feed-in cast. We didn't obviously -- the repair didn't last and we're now in a position where we're going to install the bolt-on trunnion. We've done the engineering. So the final element analysis, FEA, they call it, it looks like that bolt-on trunnion can be a permanent repair and it's progressing really well. So that's effectively a summary of the repair. As far as the mill throughput goes, what we've seen out of Macraes over the last three to four months, there's been a number of mill throughput improvement initiatives that they've had underway. The results for Q2, if you look at the MD&A, 1.62 million tonne mill feed, that's like a 6.5 million tonne annualized rate. Historically, they've never actually hit 6 million tonnes in a year. So those initiatives that the team have been looking at are really paying off. And that allowed Q2 to be a very good month, higher than what we're probably expecting. So we did claw back some of the deficit from Q1. We're now seeing in Q3. We'll give a little bit back. But by the time that Mill 2 repair is undertaken and the full -- the mill processing capacity is back then we'll see that those higher rates will continue. So we see that Q4 will be able to claw back and that's why we're confident that we can maintain guidance.
Cosmos Chiu: Perfect. That's great. Maybe switching gears a little bit, going to Haile and following up on my buddy, Ovais's questions. In terms of, it seems like in Q3, you're going through some of the stockpiles. I don't know if this is disclosed, but how much stockpiles do you have in terms of available? And what's kind of like the grade?
Gerard Bond: David?
David Londono: At this moment, we have about 2.8 million tonnes of low-grade stockpile and the grade would be somewhere between 0.75 and 0.85 grams per tonne.
Cosmos Chiu: Okay. And then David, as you mentioned, mill pit, that's coming to an end in Q3, but that's going to be Ledbetter coming in Phase 2 is coming in later on. And I think in part, Gerard has answered my question in terms of the grade profile. But it seems like mill pit, some of the ore coming out was lower grade than expected. But is there any kind of read-through from that into Ledbetter as you go into Ledbetter? Any concerns in terms of grade or was Gerard mentioned, the model has always worked felt better for Ledbetter, especially for Phase 1?
David Londono: So we had Ledbetter 1 and Ledbetter 2. Ledbetter 1 actually performed really well compared to the model. So we're expecting the same performance on Ledbetter 2 and 3.
Cosmos Chiu: Okay. And then maybe the underground development. When I was on site back earlier this year, it was already fairly well advanced? And so could you maybe remind us what still needs to be completed to get first ore in Q4? And what are some of the key sort of -- key drivers here?
David Londono: So we don't really starting the stopes. So we're going to be well advancing to the decline getting into a 975 level. Like we said before in about 80 meters from the 975. And once we get there, which is going to be early in Q4 then we'll just start mining the ore from those stopes.
Cosmos Chiu: Great. And maybe one last question. Gerard, as you mentioned, in the MD&A, you're still on track to hit the $330 million to $380 million in terms of capital exploration expenditures for the year. But it sounds like for general operation CapEx, the $95 million to $110 million, you're going to come in at the lower end due to Didipio and Haile. I'm just wondering if that's a timing thing or is it cost savings or is it -- are we going to see higher costs to kind of come back in, say, in 2024? I'm just trying to get a better sense.
Gerard Bond: No, fair question. No, it's not any shift of expenditure from this year to next will be fairly minor in nature. And that's just due to our ability to probably execute on some of our plans that we probably tend to be a bit optimistic and I think that's not uncharacteristic of most companies in this industry. So it's just -- it will just be the general sustaining CapEx that might move over. But we're also getting better at making sure that we only spend what we need to, when we need to, and we're procuring smart as well. So there's a bit of cost optimization, spend optimization and overall cost reduction in all that as well, Cosmos.
Cosmos Chiu: Great. And maybe one last question here. Talking about costs and we talked about this a lot throughout 2023. Are you finally seeing overall costs sort of abating? We're seeing inflation come up for the general economy. When I was in South Carolina. Certainly, that was a point of discussion in terms of inflation. But are you finally seeing some of the costs abating in some of the areas, South Carolina or anywhere else around the world?
Gerard Bond: Yeah. Thanks. I'll let Marius answer and provide a bit more color in detail. But at a high level, from where we were a year ago in general terms, as you know, oil prices are lower. So that obviously feeds into lower diesel. Energy costs, to the extent on contract, it can be -- can remain relatively elevated. But overall inflationary impacts have moderated across the industry to -- and Marius can provide more detail on a by-category basis. But one of the things that we're also seeing now that supply chains have normalized a bit is that delivery speed and/or delivery risk has improved. That is we can get things sooner which allows us to be better at inventory management, which has a positive cash flow benefit as well. But Marius, just from a category perspective, any color you can provide to Cosmos?
Marius van Niekerk: Yes, sure. Hi, Cosmos, just looking at it from a business perspective, we are seeing mixed impact. So it's not like you can have one size fits all. Where we're seeing increases is in wage inflation and obviously with increased competition for talent and resources, that's washing through our cost base. Also, trending up our grinding media and reagents in APAC, in the APAC region, other elements where we see it, this electricity cost at Haile. And then from a volume perspective and let's call it activity level perspective, maintenance costs are going up in areas. We're seeing that at Haile with increased maintenance activity. Obviously, with Peter's repair of the Mill 2, those costs are washing through. And then at Macraes, there's additional ground support costs that we're seeing as a result of some of the ground conditions on the underground. On the flip side, pleasingly, we're seeing double-digit increases in diesel and fuel costs.
Gerard Bond: And reduction.
Marius van Niekerk: Yeah. Reduction decreases in diesel and fuel costs, which is more impactful at open pit operations. We're seeing drilling consumables, explosives, freight costs, those types of costs coming down and easing up and even tires, although it's still at higher than the 2022 levels, we're seeing that trending down. And lastly, in New Zealand, we're benefiting from the weaker New Zealand dollar. And then with the increased mill feed, if we look at the unit cost rates, you can see that washing through on processing and G&A costs on the New Zealand operations. I think the last point, if I may, on the profile, it just again highlights the importance of the programs we have underway, where we're focusing on the three key value initiatives across asset management upliftment procurement excellence and also continuous improvement where we are confident that we are delivering sustainable long-term value.
Cosmos Chiu: Great. Thanks again. Congrats again on a very strong Q2. Looking forward to the rest of 2023 and thanks again for answering all my questions.
Gerard Bond: Thanks. Thanks for the questions, Cosmos.
Operator: [Operator Instructions] And your next question will be from Wayne Lam at RBC. Please go ahead.
Wayne Lam: Yeah, thanks. Good morning, guys. I guess first question, just wondered at Haile with the water treatment plant now complete, should we anticipate some level of unit cost savings with the reduction in dewatering required or improved treatment discharge efficiencies? Or just curious what we might be able to expect as an offset to the lower grade profile through the back half of the year?
Gerard Bond: Sure. Yeah. I mean, it gives us a lot more operational flexibility. And as you may have seen when you, at site, we had a temporary and hired water treatment plant, which we've kept a little while longer to get well ahead of the curve there, but that obviously will save that cost. But this thing is more about operational flexibility and always being confident of being able to be in full compliance with water management. So it's -- David, anything else you want to add to that?
David Londono: Yeah. Thank you, Gerard. The idea is that this year, we're actually going to have a little bit higher cost because we're ramping up the water treatment to empty the water that we have in the pits. We'll see reductions starting probably halfway next year.
Wayne Lam: Okay, great. Thanks. And then maybe just on the underground exploration having started at Horseshoe, are there additional drill platforms that are still planned to be put in place? And just curious when we could start to see some of the drill results with the ramp-up in activity underground?
Gerard Bond: Great question, Wayne. I mean, Craig is online. I ask him about every second day when we're going to get some results out of Haile. We're really excited about it. And Craig, I'll hand over to you just to provide a general overview, but you can be confident as soon as we have any results of that material and give us a return on that investment. And I'm pleased to say that we are investing in an exploration at Haile. We'll release those to the market. But Craig, are you -- the activity level from an input perspective, that's progressing well there at Haile?
Craig Feebrey: Yeah. Thanks, Gerard, and thanks, Wayne, for the question. Activity, drilling is progressing well. We don't have any results in on the resource drilling as yet, a bit to what David commented on the grade control drilling. We have a number of holes into the lab though already. I think we've completed five holes and another one will be off to the lab next week. We're drilling from several platforms as development allows us. Currently, we're drilling from one platform for the resource drilling. But things are progressing well. Productivity is good on the rig in terms of meters per ship. So, yeah, the program is going as expected, if not a little bit better.
Wayne Lam: Okay, great. Thanks. And then maybe just last one for me. At Macraes, did you guys have an estimate of the length of downtime for the second ball mill? And then just wondering if you might be able to expand a bit on the mill optimizations. What's the targeted run rate there going forward with the improvements that you guys have implemented? Is that still around the 6 million tonne level or should we be kind of thinking beyond that?
Gerard Bond: Peter?
Peter Sharpe: Yeah. Thanks, Wayne. So the -- as far as the mill throughput, so we have looked at -- if you look at the Q2 results of $1.62 million for the quarter, that -- that's approximately 6.5 million tonne annualized run rate. I think that's probably about what we really want to be able to deliver on an ongoing basis. So that will give you some indication of what we're striving for. And as far as the I guess the first question was around a tonne per hour. Was it from a mill throughput?
Wayne Lam: And around the estimated length of downtime for the ball mill?
Peter Sharpe: Sorry. So the actual trunnion is on site of that, the bolt-on trunnions on site. We actually have the contractors on site. We've cut the old trunnion off the ball mill. So it's already been jacked and set up and the old trunnion cut off. We've got the jigs set up, and we'll start machining early next week. So that -- what we're saying is by the end of Q3 because it is work that there could be some challenges, but it's progressing really well. If things go as planned, that type of work should take no more than another four weeks. But because it's obviously work that can be challenging, we are giving ourselves a full quarter.
Wayne Lam: Okay, great. Thanks for taking my questions and good luck with the months ahead.
Gerard Bond: Thanks, Wayne. And just to -- before I go into next phase, just to round out on Macraes, I just think it's a real call out for the June quarter for that team. I mean, that milling rate is well above what they've historically been able to achieve. Their grade is lower. Their recoveries are higher. That's for a low-grade operation. That's a fantastic combination and they continue to pull ore out of the ground at -- from the open pit, especially at what I think is industry-leading rate. So I think Macraes producing the volume it does at the all-in sustaining cost it does was, as I said in the call, a nice window into what its potential is when it's running well. Sorry. Operator, next question?
Operator: Thank you. Next question will be from Mike Parkin at National Bank.
Mike Parkin: Hi, guys. Thanks for taking my call and congrats on the good quarter. Just a couple of housekeeping items. Just, I may have missed it, but the Macraes repair costs, those will be capitalized non-expensed?
Peter Sharpe: Correct.
Mike Parkin: Okay. And then while you're running for the two to three months on one ball mill, are you -- is it exactly kind of 50% of capacity? Are you able to push it a little more even though you're running one line?
Peter Sharpe: Yeah. So even this month, we've been able to demonstrate higher throughput rates than we probably had traditionally seen on the back of those throughput improvement projects. So the actual impact is approximately -- we're running still at a 75% type capacity, between 70% and 75%, which again assuming that we're down for a quarter. It still allows us to be comfortable that that guidance can be met. So we are still seeing those improvement initiatives flowing through, even though Mill 2 is down. Obviously, when Mill 2 comes back up, then we can continue to run at those high throughput rates.
Mike Parkin: Okay. And are you taking advantage of that line being down in terms of any other definitive maintenance?
Gerard Bond: We seem to have lost Peter, Mike.
Mike Parkin: That's okay. The IR team can maybe just follow up with me. That would be awesome. And just last question. Is there any other shutdowns within the operating base that we should be aware of the Q3, Q4?
Gerard Bond: Short answer is there are other shutdowns. I know Waihi has a mill shutdown underway at the moment. And they are scheduled during the year. And that profile of shutdowns is one of the variables that's contributing to our guidance for Q3 to be the weakest and Q4 to be another strong quarter. So, yeah, there are shutdowns from time to time. Just a reminder, Mike, and not so much to you, but to everyone on the call, whilst we say one, ball mill 2 is down, we actually have four mills at Macraes, two SAG mills, two ball mills. So when Peter said, you've kind of got, you're running at 75%, you've got 75% of the 1 million capacity there, which is the reason that he also said, we've been able to operate the overall complex better than before. So it's headline, lots of capacities less than what it historically might have otherwise been.
Mike Parkin: Can you actually run the other SAG and just bypass the ball?
Gerard Bond: Yeah.
Mike Parkin: Okay. Well, that's interesting. Okay, thanks very much guys. That's it from me.
Gerard Bond: Thank you, Mike. Appreciate the question.
Operator: Thank you. [Operator Instructions] And your next question will be from Farooq Hamed at Raymond James. Please go ahead.
Farooq Hamed: Hi. Good morning, everyone. So lots of operational questions on this call. So maybe I'll ask a strategy question. Gerard, it's for you. So, look, the operations, they've come around, and this was a good quarter, and it's good to see all the operations kind of running kind of the way that they can. So assuming that Haile underground kind of goes as per plan and you're into the production in the fourth quarter and the gold price, you talked about the gold price earlier, the gold price stays $1,900 or above. If we look out two to four quarters and you're kind of running as expected, Gerard, what do you see as a strategy at that point for the company? Like what would you like to do at that point? Are you kind of just looking at the expansion you're seeing at Haile and the increased production and then maybe WKP in a few years or is there kind of another leg here for you in terms of maybe adding another asset whether it be kind of a development asset or a production asset? What do we expect for the strategy from Oceana over the next, let's say, a year?
Gerard Bond: Thanks, Farooq. Yeah, look, I mean, that future you paint is the one we want to be heading to, right? So predictable operations delivering to potential, generating a lot of cash. You can expect that, as Marius alluded to, we'll further reduce the debt that we have, and we don't have much debt, but we can get it lower. Debt costs more now than it used to. You went back to paying dividends. There always is the option to increase dividends. We have growth opportunities around the business that we'd love to prosecute. We have exploration upside potential at all, sorry, at least three of our four assets that we're putting money into. And that organic growth that we have in the portfolio that Peter speaks about at Didipio, we've got an ore body there open at depth with the potential to increase the mining rate, the leverage value of that is enormous, the potential for us to find more gold at Haile underground, increase the Haile underground mining rate that adds more value. So I think we're in the business of maximizing the free cash flow generation from our operations safely and responsibly. And I think we've got loads of opportunity inside the portfolio. As we generate more cash, we're going to put more into exploration. We've got land packages, particularly in the Philippines, outside of our existing mine operating area and so we can take advantage of that. And then, yeah, as we strengthen and as we get the confidence of the investment community, there's always the ability to look outside the portfolio. But in the very near term, our focus is on maximizing the free cash flow generation on what we have strengthened the balance sheet, increasing shareholder returns.
Farooq Hamed: Okay. Thanks for that. So maybe to paraphrase what you said, what we should expect is a focus on internal growth opportunities as opposed to external growth. Is that fair to say that that's the priority?
Gerard Bond: Well, that's what we have on the slide that you're looking at on screen right now. That's how we think about it. I mean, obviously, we have to be mindful of opportunities outside of our portfolio. They can present from time to time. Our ability to take advantage of that is perfectly correlated with our continued strength, balance sheet strength, our operating performance. So we have a very small business development team and that's not a reference to their height, but in number of people. And their job is to scan and make sure that we're appraised of opportunity that we can take advantage of. That's also what we have to have an eye to. So I'm not so binary as saying it's in or out, but I'm leaving hopefully people with a very clear expectation to our very near-term focus is on running the business we have very, very well.
Farooq Hamed: Okay. No, thanks for that. And then maybe the last part of this is assuming that you do see some external opportunities that are attractive. Are there certain ratios or targets or hurdles that you need to see within Oceana before you act externally like things like cash position or debt position or cash flow profile or anything like that? Is there any internal targets that you have that you want to hit before you look externally?
Gerard Bond: Internal targets? Sorry, not really. Farooq, I mean, if I understand the question right, so no, we have -- I mean, we've got the balance sheet now down to a pretty strong position. Our leverage ratio of 0.34 times is low. We don't have an aspiration per se to be net cash, but it's a great spot to be. These things have a temporal dimension. You can be -- we don't fixate on any one point in time as to what the attributes of the anything that we look at. Obviously, this is the hardest thing in our industry when you start doing inorganic growth is making sure that anything that we do add to the portfolio is accretive in value to the OceanaGold shareholder. That's the thing that we'd be looking for. I mean, it would be nice to have another asset in the portfolio and nice to have two more assets in the portfolio. But in the journey to getting there, obviously, our preference would be to find it through the drill bit and Craig's efforts of early-stage entry with junior companies and but we obviously have to if we deploy any acquisitions funding to those things. We've got to make sure that we get an asset that we believe can run well. We can run better than the previous owner, which is actually a lot harder than it sounds and/or has exploration upside and making sure that we buy at a pricing can convert that potential to the betterment of the OceanaGold shareholder. So that's the lens we look through it. But there's no burning platform for us to do that. We have the luxury of having one of the best near-term organic growth profiles in our industry. So we feel like we've got the time, and we can take that time to continue to improve that we can run well while we have strengthened the balance sheet to put us in an ever better position to make those kind of decisions.
Farooq Hamed: Okay. All right. Well, thanks for that, Gerard. I appreciate the insights.
Gerard Bond: Thank you, Farooq.
Operator: Thank you. And at this time, it appears we have no further questions. Please proceed with any closing remarks.
Gerard Bond: Well, thank you, operator, and thank you to the team here, everyone at OceanaGold, but also all of the listeners on the call. Really appreciate you dialing in. Really appreciate the questions. That concludes our webcast and conference call. A replay will be available on our website later today. And on behalf of everyone here at OceanaGold, I wish you a very pleasant rest of the day. Bye for now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again thank you for attending. And at this time, we do ask that you please disconnect your lines.